Operator: Good day, and thank you for standing by. Welcome to the First Quarter 2025 Unitil Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Chris Goulding, Vice President of Finance and Regulatory. Please go ahead.
Chris Goulding: Good afternoon, and thank you for joining us to discuss Unitil Corporation's first quarter 2025 financial results. Speaking on the call today will be Tom Meissner, Chairman and Chief Executive Officer; and Dan Hurstak, Senior Vice President, Chief Financial Officer and Treasurer. Also with us today are Bob Hevert, President and Chief Administrative Officer; and Todd Diggins, Chief Accounting Officer and Controller. We will discuss financial and other information on this call. As we mentioned in the press release announcing today's call, we have posted information, including a presentation, to the Investors section of our website at unitil.com. We will refer to that information during this call. Moving to Slide 2. The comments made today about future operating results or events are forward-looking statements under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements inherently involve risks and uncertainties that can cause actual results to differ materially from those predicted. Statements made on this call should be considered together with cautionary statements and other information contained in our most recent annual report on Form 10-K and other documents we have filed with or furnished to the Securities and Exchange Commission. Forward-looking statements speak only as of today, and we assume no obligation to update them. This presentation contains non-GAAP financial measures. The accompanying supplemental information more fully describes these non-GAAP financial measures and includes a reconciliation to the nearest GAAP financial measures. The company believes these non-GAAP financial measures are useful in evaluating its performance. With that, I will now turn the call over to the Chairman and CEO, Tom Meissner.
Thomas Meissner: Thank you, Chris, and good afternoon, everyone. Thanks for joining us today. I'm going to begin on Slide 3, where today we announced adjusted net income excluding acquisition-related costs of $28.4 million and adjusted earnings per share of $1.74 for the first quarter of 2025. This is an increase of $1.2 million or $0.05 per share compared to the first quarter of 2024. This is an exciting time for our company as we recently completed the acquisition of Bangor Natural Gas and recently announced agreements to acquire Maine Natural Gas as well as 3 water utilities: Aquarion Water of Massachusetts, Aquarion Water of New Hampshire and Abenaki Water of New Hampshire. These acquisitions provide a great opportunity to expand our regulated operations in states where we currently operate and support our long-term rate base and earnings growth. We're very excited by these opportunities and believe our focus on delivering high-quality, affordable service will benefit the customers and the communities served. I'll provide additional information about these acquisitions shortly. Lastly, I'm pleased to announce that we are reaffirming our long-term guidance for earnings growth, dividend growth and rate base growth. In addition, over the next 5 years, we expect the recently announced acquisitions to support earnings growth toward the upper end of the 5% to 7% range. Moving now to Slide 4. I'd like to start by saying that both Bangor Natural Gas and Maine Natural Gas are a perfect complement to our existing operations in Maine. We closed Bangor Natural Gas on January 31 and announced Maine Natural Gas on April 1. We're purchasing both companies at attractive multiples and view the additions as a cost-effective way to expand our service areas. We will be adding about 15,000 customers in some of the most attractive areas of the state where there is strong customer growth of 4% to 5%. The distribution systems are relatively new and the proximity to our existing operations provide opportunities for operational synergies. Future growth prospects are strong, and we believe the low penetration of natural gas in the state will drive continued conversions in the years ahead. Notably, Maine has the highest reliance on fuel oil of any state in the nation, and converting to natural gas offers an alternative that is both cleaner and more affordable. In the coming years, we anticipate updating distribution rates to better reflect the current cost of service, after which we expect these acquisitions to be accretive to our long-term outlook. Turning now to Slide 5. Yesterday we executed a purchase agreement to acquire 3 Massachusetts and New Hampshire subsidiaries of the Aquarion Water Company for $100 million, including the assumption of approximately $30 million of debt and subject to customary closing adjustments. The Aquarion Water Company is a water supply and wastewater treatment company formed in 1857 that operates 5 subsidiaries throughout the New Hampshire, Massachusetts and Connecticut areas. The agreement will be structured as a back-to-back transaction with the Aquarion Water Authority, a newly created quasi-public political division of the State of Connecticut that is purchasing the Aquarion Water Company from Eversource and will subsequently sell the New Hampshire, Massachusetts subsidiaries to Unitil. In conjunction with the purchase agreement, we have negotiated an operating agreement with the Aquarion Water Authority to provide centralized services for initial term of 5 years. The transaction is subject to regulatory approvals in Connecticut, Massachusetts, New Hampshire and Maine and is expected to close in late 2025. Turning to Slide 6. I'd like to provide a brief overview of the rationale behind the Aquarion transaction, which ultimately boils down to the criteria we look for in an acquisition: high-quality assets, proximity to our existing operations, expected long-term earnings accretion, future growth opportunities and a constructive regulatory environment. Aquarion matches all those criteria and provides an attractive first entry into water distribution. Water utilities provide a critical resource, have favorable ESG characteristics and highly predictable returns. Massachusetts and New Hampshire are regulatory jurisdictions that we know well and where we enjoy strong relationships. There is also precedent for accelerated cost recovery in both jurisdictions, and we will look to continue those rate structures. The transaction includes $78 million of rate base as of December 31, 2024, adds 23,000 customers and provides opportunities for further consolidation of municipal water systems in the states where we currently operate. Most community water systems are municipally owned and have become increasingly capital-intensive due to aging infrastructure and new water quality standards. Our strong reputation, operational capabilities and financial strength put us in a strong position to capitalize on future opportunities. We look forward to providing additional details about this transaction on future calls. Turning now to Slide 7. As I mentioned earlier, we expect rate base growth to accelerate to about 10% annually through 2029 due to these acquisitions. We also expect the acquisitions to support earnings growth near the top end of our guidance range over the next 5 years. Collectively, the acquisitions will be earnings-neutral in the short run, but are expected to become earnings-accretive over the long run. Turning to Slide 8. Our balance sheet strength remains a top priority, and we believe it greatly enhances our ability to effectively finance the company's core operations as well as acquisitions. The flexibility provided by our strong credit metrics and our ability to generate low-risk cash flows is significant. We have ample liquidity to our revolver and the S&P rating agency recently noted that, even if both Bangor Natural Gas and Maine Natural Gas are funded entirely with debt, the company's credit metrics are still above the downgrade thresholds and well within the investment-grade rating category. We will continue to effectively manage risk and expect our FFO to debt and other credit metrics to remain above our peers and above our downgrade thresholds. With that, I'll now pass it over to Dan, who will provide greater detail on our first quarter financial results.
Daniel Hurstak: Thank you, Tom. Good afternoon, everyone. I'll begin on Slide 9. As Tom mentioned, we announced first quarter adjusted net income of $28.4 million and adjusted earnings per share of $1.74, representing an increase of $1.2 million or $0.05 per share compared to the same period in the prior year. Our first quarter 2025 results were consistent with the quarterly earnings distribution chart provided during our previous earnings call in February. Moving to Slide 10, I will discuss our Electric adjusted gross margin. For the 3 months ended March 31, 2025, Electric adjusted gross margin was $27.5 million, an increase of $0.4 million or 1.5% compared to the same period in 2024. The increase in Electric adjusted gross margin reflects higher distribution rates and customer growth. The company added approximately 970 electric customers compared to the first quarter of 2024. And as noted during prior calls, Electric distribution revenues are substantially decoupled, which eliminates the dependency of distribution revenue on the volume of Electricity sales. Turning to Slide 11, I will discuss our Gas adjusted gross margin. For the 3 months ended March 31, 2025, Gas adjusted gross margin was $70.9 million, an increase of $9.9 million or approximately 16.2% compared to the same period in 2024. The increase in Gas adjusted gross margin reflects higher distribution rates and customer growth as well as a return to normal winter weather in 2025. The company added approximately 9,230 new Gas customers compared to the same period in 2024, including 8,730 customers from the Bangor acquisition which closed at the end of January. Approximately 55% of the company's gas customers are under decoupled rates, and we estimate that decoupling supported Gas margin by approximately $0.02 per share in the first quarter. Looking at existing operations excluding the Bangor acquisition, Gas adjusted gross margin was $68 million, an increase of $7 million or 10.2% compared to the first quarter of 2024. Moving to Slide 12, we provide an earnings bridge comparing 2025 first quarter results to the same period in 2024. As I just discussed, adjusted gross margin for the first quarter increased by $10.3 million, primarily driven by higher distribution rates, customer growth and colder winter weather. Operation and maintenance expenses increased $4.4 million, reflecting higher utility operating costs, higher labor costs and higher professional fees. This increase includes $0.7 million related to Bangor Natural Gas operating expenses and $1.2 million of transaction costs, which are excluded from adjusted net income. In addition, certain transmission expenses were higher in 2025 based on approved formula rates in our Fitchburg service area. Depreciation and amortization expense increased by $3.7 million, reflecting higher depreciation rates from the most recent Fitchburg gas rate case, higher levels of utility plant in service, and higher amortization of storm costs and other deferred costs. Taxes other than income taxes increased by $0.2 million, primarily due to amounts related to Bangor Natural Gas. Interest expense increased $1.8 million, primarily reflecting higher levels of long-term debt and higher interest expense on regulatory liabilities, partially offset by lower interest expense on short-term borrowings. Other expense decreased by $0.2 million, reflecting lower retirement benefit costs. Lastly, income taxes increased $0.1 million, reflecting higher pretax earnings in 2025. Turning to Slide 13. We recently filed a distribution rate case with the New Hampshire Public Utilities Commission for Unitil Energy Systems, our New Hampshire electric utility, which includes a proposed revenue requirement increase of $18.5 million. This rate case includes pro forma rate base of $289 million as of December 31, 2024, an equity layer of 52.67% and a return on equity of 10.5%. We are requesting a temporary rate increase of $7.8 million, subject to commission approval, and expect the approved temporary rate increase will take effect on July 1, 2025. Permanent rates are expected to take effect May 1, 2026, and will be subject to recoupment or refund based on the final order. In New Hampshire, permanent rate case awards are reconciled back to the effective date of the temporary rate award. Similar to previous New Hampshire rate cases, we have proposed a multiyear rate plan to provide for timely cost recovery of 2025 and 2026 capital investments. These investments support the advanced energy grid as well as the continued safety and reliability of our system. We look forward to working with all stakeholders throughout this proceeding and we'll provide additional information on future earnings calls. Moving to Slide 14. As noted during our previous earnings call, our current 5-year capital budget now totals approximately $1 billion and is 46% higher than the prior 5 years. This capital budget represents our investment plan for existing operations and does not incorporate investment growth from our acquisitions. We expect the acquisition of Bangor Natural Gas and the recently announced transactions involving Maine Natural Gas and the Aquarion companies will result in total capital spending above this plan over the next 5 years. Turning to Slide 15. We are reaffirming our 2025 earnings guidance, which we expect to be in the range of $3.01 to $3.17 per share. Given our expectations that the Maine Natural Gas and Aquarion companies transactions will close in late 2025, we do not expect those transactions will have a significant effect on our 2025 results. I will now turn the call back over to Tom.
Thomas Meissner: Thanks, Dan. Ending now on Slide 16. We had a strong and busy start to the year and we are very pleased with our operating and financial performance. Our core businesses are performing well, and we are actively carrying out our strategic initiatives and pursuing growth opportunities. The company is heading in a great direction and we strongly believe we are in a better position than ever before to provide long-term sustainable value. With that, I'll pass the call back to Chris.
Chris Goulding: Thanks, Tom. That wraps up the prepared material for this call. Thank you for attending. I will now turn the call over to the operator who will coordinate questions.
Operator: